Operator: Good morning, ladies and gentlemen. My name is Shanelle, and I will be your conference call facilitator today. At this time, I would like to welcome everyone to the Kimball International Third Quarter Fiscal-Year 2017 Financial Results Conference Call. All lines have been placed on listen-only mode to prevent any background noise. After the Kimball speakers' opening remarks, there will be a question-and-answer period where Kimball will respond to questions from analysts and investors. [Operator Instructions]. As with prior conference calls, today's call, May 4, 2017 will be recorded, and may contain forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from the forward-looking statements. Risk factors that may influence the outcome of forward-looking statements can be seen in the Kimball International Form 10-K and today's release. The panel for today's call is Bob Schneider, Chairman and CEO of Kimball International; and Michelle Schroeder, Vice President and Chief Financial Officer of Kimball International. I would now like to turn today's call over to Bob Schneider. Mr. Schneider, you may begin.
Bob Schneider: Thank you, Shanelle, and welcome, everyone, to our third quarter conference call. The financial results for our third quarter ended March 31, 2017 were released yesterday afternoon after the market closed. As in prior calls, we have an Investor Presentation slide deck that has been posted to our Investor Relations section of our website to accompany this conference call. And the slide deck includes some very important trending that makes it much easier to see the picture of how Kimball International is performing. I will start with a few brief comments before I turn the call over to Michelle, who will provide us with the key financial highlights for the quarter. We will then open the call to questions from analysts and investors. Our third quarter results exceeded my expectations, particularly with this being our normal seasonal low sales period, and what I've been seeing with competitors' published results. Sales increased 2%, while GAAP net income more than doubled compared to the prior-year. Our operating income was 7.2% which our team feels very good about, given it was our seasonally slow quarter. Excluding the restructuring charges in the prior-year, net income increased a very strong 63%. Our team is very proud of the results. Now I'll touch on a few of the key highlights for the quarter ending March 31. I'll start with orders. Our order activity was extremely strong during the third quarter. Our orders increased 12% on a consolidated basis with the commercial, government, education and finance vertical markets, all seeing significant double-digit percentage increases. Michelle will discuss the individual vertical markets shortly. We were very pleased with the level of order activity during the quarter and how dispersed it was among four of our six market verticals. Taking a different slice at orders, so we can compare to office furniture industry data, our third quarter office furniture orders increased a very strong 18% compared to last year. As a reminder, this includes all vertical markets, except hospitality. BIFMA reported orders in the industry exceeded - increased 6% for the quarter ending March 31. That's 6%, and so we significantly outpaced the industry orders for the quarter. Recall last quarter, we mentioned that we had seen a slowdown in our day-to-day office furniture orders, as we believe customers were being somewhat cautious after the presidential election. We are still seeing some variability in this area but activity started picking up again late in the quarter. Our day-to-day orders were up slightly and our project orders were very strong again this quarter, increasing 38%. I've mentioned in prior calls our focus on product development. We are continuing our efforts in new product development and are pleased to report new product sales increased 21% in the third quarter compared to last year, and it represented 29% of our total sales in the third quarter, which is generally pretty high relative to the market. Clearly our new products are resonating well with the market. Operating income, excluding restructuring for the third quarter, increased a very strong 55% compared to last year. The significant improvement in the third quarter earnings over last year is due in part to the increase in new product sales, which generally have a higher margin than legacy products, and the savings realized from the exit of our Idaho facility. We estimated 2.5 years ago the Idaho facility restructuring would improve our operating income approximately $1.25 million per quarter and we are realizing that savings. Sometimes, as you know with restructuring activities, the actual savings realized ends up being lower than originally anticipated. I am very proud of our team for working hard to ensure we achieved all the production efficiencies originally anticipated. And the last key highlight involves trade shows upon us in May and June. As a reminder, we showcase new products and our capabilities at these shows. The Premier Hospitality Design Show in Las Vegas is taking place this week, as we speak actually. This show is attended by many of the well-known designers in the industry as well as hospitality owners and operators. It's a great opportunity for us to showcase our manufacturing and design capabilities to the market. And Kimball Office and National Office Furniture are actively preparing for the furniture trade show in Chicago in June, where we will collectively introduce approximately 20 new products or product enhancements plus some new surface materials, that will further expand our design-driven offerings and provide even greater flexibility and functionality to accommodate the evolving work environment. I've told you in the past, we are hitting the gas pedal on new products and that is continuing. Looking forward, we continue to see positive signs in the economy. Our order activity in the third quarter was very encouraging and provides us momentum to finish the fiscal year strong. We continue to execute to our strategy and are working toward achieving a consistent 8% to 9% operating income in accordance with the outlook we disclosed last November. We are just shy of 8% for the year-to-date period and we are confident we can hit the 8% to 9% range on a consistent basis in the near-term, and we'll reevaluate the guidance over the coming year. Now I will turn the call over to, Michelle, for a brief overview of financial results before we open the call to your questions. Michelle?
Michelle Schroeder: Thanks Bob. I'm happy to note that our sales in the third quarter of $153.1 million, was the 15th consecutive quarter we recorded year-over-year sales growth. So we are definitely actively focused on sales growth. Third quarter sales in five of our six vertical markets increased over last year. The largest increases were in the finance, hospitality and government vertical markets. We increased our full focus on strategic accounts within the financial services industry, and banking institutions continue to keep their brand images modern, particularly in customer-facing locations but also in their corporate facilities to assist in talent acquisition. Our increased emphasis on this vertical resulted in some nice projects shipping during the quarter, resulting in a 24% increase in sales in this vertical during the quarter. Third quarter sales in the hospitality vertical market increased 9%. Shipments in both of our program and custom business increased. Our program business was particularly strong with double-digit increase in revenue for the quarter, driven by increases in most of the major brands that we sell to. Of all of our verticals, note that this one is probably the most volatile, given the large project nature of the market. Sales to the government vertical increased 7% in the third quarter, with increases to both the Federal and State Agencies, and then sales in the education vertical market were up 4% and sales in commercial market increased 1%. The only vertical market where we saw a decline in sales for the third quarter was in the healthcare vertical, where sales declined 21%. We believe there has been some spending delays in this vertical, due to the uncertainties with what's going to happen with the Affordable Care Act. Also I must say it was a bit of a tough comparison to last year, when sales in this vertical were up over 50%. Over the last couple of quarters, we've expanded the number of healthcare sales specialists and have recently hired a new healthcare leader in our Kimball Office brand, which will provide us better sales coverage in this market. As Bob noted, sales from new office furniture products introduced in the last three years increased 21%, and approximately 29% of our total third quarter sales were from new products. We like to see the high percentage of sales coming from new products because it positively impacts our operating income, as our new products generally have better margins. We were very pleased with the strong order activity in the third quarter, as Bob mentioned. Our orders increased 12% over the prior-year with double-digit increases in commercial, government, education and finance vertical markets. Orders in the healthcare and hospitality vertical did decline for the quarter, when compared to very strong orders in both verticals in the prior-year. Our National Office Furniture brand implemented a price increase effective on April 1, which we do believe had the effect of pulling some orders forward into the third quarter, and it's difficult to estimate what the impact of that was on our orders, but we believe it could have pulled approximately $6 million to $8 million of orders into the third quarter. So if you exclude that impact, orders still would have increased approximately 17% on a consolidated basis, instead of the 12% reported, and when looking at office furniture orders only, excluding hospitality, orders would have increased approximately 12%, instead of 18%, when you exclude that impact, both of which represent a very strong increase. Consolidated open order backlog at March 31, increased to $130.6 million. That was an 8% increase compared to March of last year. And again, if you exclude the estimated orders pulled into the third quarter, due to that price increase on April 1, our open order backlog would have increased approximately 2%, compared to March of last year. So our order backlog is strong as we head into the fourth quarter. As I move to operating income results, my comments reflect operating income, excluding restructuring costs in the prior-year, and we do have a non-GAAP disclosure in our investor slide deck. We saw a significant improvement in our operating income for the quarter. Excluding restructuring, third quarter operating income increased 55%. As a percent of sales, operating income for the third quarter was 7.2%, compared to 4.7% in the same quarter last year. The 7.2% operating margin exceeded our expectations for the quarter, particularly with the lower seasonal sales. Bob mentioned that the benefit we are realizing from the Idaho facility exit that contribute to the improved results when compared to last year. In addition, net price realizations, lower healthcare costs and our productivity improvement and lean initiatives, also contributed to the improvement. As a result of our higher earnings, we did have higher incentive compensation costs in the quarter that partially offset these improvements. Our effective tax rate for the quarter was 36.8%, compared to 38% last year, so really nothing unusual to mention in our tax rate this quarter. And then net income ended at $7.2 million for the third quarter, compared to $4.4 million in the prior-year. Our return on capital was a strong 17.2% for the quarter, compared to 12.2% last year. Now looking at our balance sheet. As of March 31, our cash, cash equivalents and short-term investments grew to $84.5 million. Operating cash flow in the third quarter was $17.6 million, compared to $24.5 million, in the third quarter of last year. We paid $2.2 million in dividends during the quarter, and we did not repurchase any shares during the quarter. Our capital expenditures totaled $2.4 million for the third quarter. Our capital spend so far this year has been a little lower than normal. Year-to-date our capital spend is $8.3 million. We do expect to increase our spend in the last quarter of this fiscal year and into next fiscal year. We are currently estimating our total capital spend for this fiscal year 2017 will be approximately $17 million to $18 million, which means that we expect to have around $10 million of CapEx in the fourth quarter. The higher capital spend expected in the fourth quarter is in part driven by upgrading some equipment. We've got some showroom renovations, and then also the replacement of some tractors and trailers for our logistics operations. It also includes cost to renovate our headquarters to better reflect the new layout and design of offices today. We continue to have almost no long-term debt, which stood at $214,000 as of March 31. We have $30 million credit facility and are in compliance with all covenants. With that, I'd like to open today's call to questions. Shanelle, do we have anyone with questions?
Operator: [Operator Instructions]. One moment please for the first question. Our first question comes from the line of Kathryn Thompson of Thompson Research. Ms. Thompson, you may please ask your question.
Steven Ramsey: Good morning, guys. This is Steven on for Kathryn.
Bob Schneider: Good morning, Steven.
Michelle Schroeder: Hi Steven.
Steven Ramsey: I've got a few - I guess, I want to start with project business versus day-to-day to confirm, you said, project sales orders were up 38% year-over-year.
Bob Schneider: That's orders.
Steven Ramsey: Okay, it was orders. And would you say that sales trends in the quarter followed a similar trajectory in project being up meaningfully over day-to-day?
Bob Schneider: Yes. I don't have the exact percent, Steve, but our project business has done well for quite a while.
Steven Ramsey: Right, I remember you saying that last quarter. Is there any discernible trends you would call out that's driving projects so much greater than day-to-day?
Bob Schneider: Well, the day-to-day portion of our business, like the whole industry, has been stressed since around the election, but with respect to the project business, that's been strong. I can't really point to anything discernible on that. It's been pretty broad-based throughout the country and I think it's a reflection of 2.5, three years of coming out with a lot of new and innovative products that designers are thrilled with and specifying on some pretty big projects.
Steven Ramsey: Excellent. Okay. And then on the healthcare and finance verticals, the trends you called out that were impacting sales. I would assume that those same trends are impacting the orders in each of those segments?
Michelle Schroeder: Our orders in the finance vertical were up about 32% and our sales in the finance vertical were up about 24%, so we saw nice increases in finance in both sales and orders.
Bob Schneider: And Steven, you can see that towards the back of our press release in the tables.
Michelle Schroeder: Yes, and the other one, I think, you had called out was healthcare, that was as well. We saw a decline in both orders and sales for our healthcare vertical in the quarter. Again going back to the - we believe there was some delay due to the Affordable Care Act, plus we had a pretty strong quarter in sales and orders in Q3 of last year, so it was a tough comparison.
Steven Ramsey: Right, okay. And then I was wondering too if throughout the quarter on a sales and order basis, did you see a gradual sequential improvement by month? A couple of peers have called out that the quarter got progressively better to start the year. I was wondering if you saw anything…
Bob Schneider: We saw the same thing, Steven. March was much improved from the start of the quarter and much improved from what we had been seeing. Nice trending, and then as we got into April, we continue to see nice levels of activity in our business, and so it's very encouraging.
Steven Ramsey: Excellent. And my last question regarding new products, clearly very strong growth here. Is there any discernible trend by vertical in new products and are you targeting one vertical over another, or just any discernible trends within new products growth?
Bob Schneider: Yes, good question. We aren't targeting any specific vertical. It's really all of them. You look at education, we've had a lot of new products last couple of years. Healthcare, we ramped up tremendously starting maybe 2.5, three years ago, so it's very broad-based and impacting really all these verticals.
Michelle Schroeder: And then with the change in the trends in office, we've seen a lot of new products related to the office arena as well, so very broad.
Steven Ramsey: Excellent. Thank you guys.
Michelle Schroeder: Thank you.
Bob Schneider: Thanks Steven.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Paul Sonkin of Gabelli. Your line is now open.
Paul Sonkin: Good morning.
Bob Schneider: Good morning, Paul.
Paul Sonkin: Yes, so I guess I don't have OCD [ph], but on Slide 21, I just wanted to clarify the outlook. It says operating income of 8% to 9%, but except Q3, which tends to be lower during seasonality. So does the 8% or 9% incorporate that lower Q3?
Bob Schneider: It does, Paul, and what we're trying to be very transparent about here is, generally speaking, we think we can get this to 8% to 9% on a consistent basis. However we wanted to make sure that we didn't mislead anybody to think that our third quarter would necessarily be above 8%. And Michelle, I think we came out with a guidance in November?
Michelle Schroeder: Yes.
Bob Schneider: And we were coming off a very good Q1 and actually had a pretty good Q2 also but didn't want to imply to anyone to expect that in Q3. So we're just trying to give a little bit of heads-up. That quarter is always a difficult quarter due to the sales challenge. There is…
Paul Sonkin: So I guess, then what you're saying is that on a rolling four quarter basis, you're targeting 8% to 9%, but because of vagaries in seasonality, it might not fall within that range in any given quarter?
Bob Schneider: In - well, specifically Q3.
Paul Sonkin: Specifically Q3, okay. And then other question that I had was in terms of the price increases for National Office, if you could just talk a little bit more about that, like how much was the price increase, when was the last time you did a price increase, have you been finding that price increases have been sticking?
Bob Schneider: I don't want to get too specific, Paul, in terms of what we do from a pricing standpoint. But I will tell you in the industry, generally mid-to low-single digits is what price increases have been. We did do this increase at the end of March and I believe the one prior to that was over a year ago.
Michelle Schroeder: It was about a year ago for National.
Bob Schneider: But in terms of stickiness of it, when we do price increases, there are generally contractual agreements with some customers that extended out a little bit before it sticks, but this price increase has been like others and a significant amount of the orders that we are seeing are at the new price.
Paul Sonkin: Okay, I see. So for the industry it's traditional to do a price increase every year?
Bob Schneider: The last several years, that's pretty much been the case.
Paul Sonkin: Okay. And again, how much - so you think it pulls about $6 million into the third quarter from the fourth quarter?
Bob Schneider: That's our estimate, yes.
Michelle Schroeder: Yes, it's really difficult to try to figure that out.
Paul Sonkin: Of course, yes.
Michelle Schroeder: Yes, that's our best guess.
Paul Sonkin: Okay. All right, thank you very much. I appreciate it.
Michelle Schroeder: All right, thanks, Paul.
Bob Schneider: Thanks Paul.
Operator: [Operator Instructions]. And I'm showing no further questions at this time. I would now like to turn the call back over to Mr. Schneider for closing remarks.
Bob Schneider: Thanks, Shanelle, and thanks, everyone, for joining us today. As I mentioned, I was very pleased with our third quarter results. Our employees remain focused on growth, margin improvement and creating value for our shareowners. And if anyone happens to be in Chicago for the office furniture trade show that's going to be happening in June, please stop in to see our Kimball Office and National Office Furniture showrooms. We appreciate your interest in Kimball International, and look forward to speaking with you on our next call. Thank you, and have a great day everyone.